Operator: Good morning, and welcome to the Hasbro, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. At this time, I'd like to turn the call over to Frederick Wightman, Vice President, Hasbro Investor Relations. Please go ahead.
Frederick Wightman: Thank you, and good morning, everyone. Joining me today are Chris Cocks, Hasbro's Chief Executive Officer, and Gina Goetter, Hasbro's Chief Financial Officer and Chief Operating Officer. We will begin today's call with Chris and Gina providing commentary on the company's performance, before taking your questions. Our earnings release and the presentation slides for today's call are posted on our investor website. The press release and presentation include information regarding non-GAAP adjustments and non-GAAP financial measures. Our call today will discuss certain adjusted measures, which exclude these non-GAAP adjustments. A reconciliation of GAAP to non-GAAP measures is included in the press release and presentation. Please note that whenever we discuss earnings per share or EPS, we are referring to earnings per diluted share. Before we begin, I would like to remind you that during this call and the question and answer session that follows, members of Hasbro management may make forward-looking statements concerning management's expectations, goals, objectives, and similar matters. There are many factors that could cause actual results or events to differ materially from the anticipated results or other expectations expressed in these forward-looking statements. These factors include those set forth in our annual report on Form 10-Ks, our most recent 10-Q, today's press release, and in our other public disclosures. We undertake no obligation to update any forward-looking statements made today to reflect events or circumstances occurring after the date of this call. I would like to turn the call over to Chris Cocks. Chris?
Chris Cocks: Thanks, Fred, and good morning. Last year, we introduced Playing to Win, our strategic roadmap to guide Hasbro from turnaround into a new era of growth and profitability. At its core are two pillars: Play and Partnership. Those pillars define Hasbro. Our brands have been delighting fans since 1860 when Milton Bradley introduced his first board game. Partnership has been equally foundational. We have worked with premier partners for more than seventy years, beginning with The Walt Disney Company in 1954. Today, we work with over 1,000 partners across more than 5,000 collaborations. Play and partnership anchor everything we do. They power our mission to bring joy and community to fans of all ages through the magic of play. And our KPI for that mission is simple: Delight. So how many kids, families, and fans did we delight over the past year? When we announced Playing to Win, we used objective measures like YouTube views, Circana point of sale, box office receipts, and Sensor Tower data to estimate our annual reach. Our initial estimate was 585 million people. It turns out that was conservative. Since then, we have continued to refine our understanding of brand reach. In late 2025, we conducted a large-scale survey across eight major markets, reaching tens of thousands of consumers, and combined those results with third-party data to better understand the reach of our brands. The result was clear: Hasbro now reaches more than 1 billion people every year. From Transformers movies to families visiting Peppa Pig theme parks, to Magic played in hobby shops around the world, Hasbro has positively impacted nearly one in eight consumers globally. I'm incredibly proud of that. It puts into perspective why we do what we do and why we're pushing so hard to position this company for its next century. Our brands and partnerships create joy for an enormous audience through the simple, powerful magic of play. That delight is not abstract. It is showing up directly in our results. Inspiring a lifetime of play is what animates our teams. And in 2025, they translated that passion into outstanding performance. In the fourth quarter, Hasbro grew revenues by more than 30%. Adjusted operating profit grew nearly 180%. Our consumer products business returned to growth, up over 7%, with MONOPOLY, Peppa Pig, and Marvel all growing. Wizards of the Coast capped off a remarkable year with 86% sales growth in the quarter, driven by the combined strength of Magic and Digital. For the full year, Hasbro grew revenue 14%. Adjusted operating profit margin reached a record level above 24%. Adjusted operating profit exceeded $1.1 billion, also a record. That momentum is being reinforced by partnerships across the company. In toys, we added K-Pop Demon Hunters, the global phenomenon and Netflix's most popular film, as a co-master toy licensee. That partnership is already underway with a MONOPOLY deal crossover and many more exciting new role play, interactive plush, and games coming over the next few months. This morning, we also announced the primary toy license for the world of Harry Potter and the upcoming HBO original Harry Potter series with Warner Brothers Discovery. Joining new recently announced partnerships for Voltron with Amazon MGM Studios, and Streetfighter with Legendary Pictures. These collaborations will begin in the back half of 2026 and build into 2027. These are iconic franchises with global reach, and we are honored to partner with such world-class IP owners. Shifting to Wizards of the Coast, Magic delivered a record fourth quarter and grew sales nearly 60% for the full year. We have a powerful lineup in 2026. It includes original IP like Lorwyn Eclipse and Secrets of Strixhaven, alongside a blockbuster slate of Universes Beyond collaborations, including Teenage Mutant Ninja Turtles, Marvel Superheroes, The Hobbit, and Star Trek. Avatar the Last Airbender, which launched in late November, is now the third highest selling set in Magic's history, trailing only Lord of the Rings and Final Fantasy. At the same time, Secret Lair delivered its largest quarter ever, and backlist sales once again set a record. This balance of tentpole releases, premium offerings, and evergreen play reflects how the Magic system is designed to perform. That momentum has carried into the new year. Lorwyn Eclipse has already become the fastest selling Magic IP premier set ever, surpassing Tarkir. Player growth continues to underpin these results. Through the end of 2025, more than 1 million unique players participated in organized play, representing a 22% increase year over year. That growth is supported by a global play network. We now have more than 10,000 active Wizards Play Network stores worldwide, up over 20% year over year, with expanded reach across traditional retail partners. Taken together, this reinforces our confidence in Magic's long-term growth. We are building a system of play with multiple entry points, product types, and engagement paths. And that system is positioned to continue driving growth into 2026 and beyond. In the fourth quarter, we also shared more about our self-published video game strategy, including a new gameplay trailer for our science fiction RPG, Exodus, and the first reveal of our D&D action-adventure game, Warlock. Both titles have been in development since 2019 and are led by some of the most experienced, creative, development talent in the industry. The response has validated our confidence. Since debuting at the Game Awards, trailers for these titles have been viewed more than 100 million times across social, gaming, and owned channels. We expect both games to launch in 2027, beginning with Exodus in the first part of the year. We will share much more later this year, including extended gameplay walkthroughs that allow fans to fully step into the world Archetype Entertainment and Invoke have built. All of this reflects meaningful change. New partnerships, new distribution, new digital capabilities, and it represents only part of what we have in motion. In 2026, we expect our largest year ever with our longest-standing partner, The Walt Disney Company. We are launching products tied to four major films: Disney and Pixar's Toy Story 5, Star Wars, The Mandalorian and Grogu, Spider-Man: Brand New Day, and Marvel Studios' Avengers Doomsday. Alongside an all-new Magic collaboration with Marvel Superheroes. We also have a strong lineup of collectibles and exclusives, including standout Pulse drops later this year. We're introducing creative new ways to experience Play-Doh that age up the brand later this year. Peppa Pig's baby sister, Evie, will celebrate a year of firsts as she approaches her first birthday. And we recently announced that Peppa's younger brother George is moderately deaf, as we continue to champion stories that reflect real children and families around the world. Transformers will begin celebrating the 1986 animated film with a new product line, surprises throughout the year. D&D has major category expansions coming later this year, alongside continued growth on D&D Beyond. We also announced a partnership with HBO and Craig Mazin on a Baldur's Gate series. Coming off the success of The Last of Us, Craig demonstrated what is possible when games serve as premium source material. That success reinforces our strategy to unlock long-term value by bringing our worlds to life with top-tier creative partners across more than 60 active entertainment projects. Before I close, I want to address AI and how we're using it at Hasbro. We're taking a human-centric, creator-led approach. AI is a tool that helps our teams move faster and focus on higher-value work. But people make the decisions, and people own the creative outcomes. Teams also have choice in how they use it, including not to use it at all when it doesn't fit the work or the brand. We're beyond experimentation. We're deploying AI across financial planning, forecasting, order management, supply chain operations, training, and everyday productivity. Under enterprise controls and clear guidelines around responsible use and IP protection. Anyone who knows me knows I'm an enthusiastic AI user. And that mindset extends across the enterprise. We're partnering with best-in-class platforms, including Google Gemini, OpenAI, and Eleven Labs, to embed AI into workflows where it adds real value. The impact is tangible. Over the next year, we anticipate these workflows will free up more than one million hours of lower-value work. And we're reinvesting that capacity into innovation, creativity, and serving fans. Our portfolio of IP and the creators and talent behind it are the foundation of this strategy. Great IP plus great storytelling is durable as technology evolves. And it positions us to benefit from disruption rather than being displaced by it. In toys, AI-assisted design paired with 3D printing has fundamentally improved our process. We've reduced time from concept to physical prototype by roughly 80%, enabling faster iteration and more experimentation. With human judgment, human craft determining what ultimately gets selected and turned into a final product. We believe the winners in AI will be companies that combine deep IP, creative talent, and disciplined deployment. That's exactly where Hasbro sits. As we enter 2026, we view Playing to Win and more importantly, the execution behind it by our Hasbro, Wizards of the Coast, and digital studio teams as a clear success. Despite market volatility and a shifting consumer environment, we returned this company to growth in a meaningful way. We delighted more than 1 billion kids, families, and fans, secured partnerships that further underwrite future growth, advanced our evolution to a digital-first play and IP company, and delivered record profits for our shareholders. In 2026, we expect that momentum to continue. Hasbro is firmly back on a growth trajectory, powered by play, partnership, new digital capabilities, and most importantly, our extraordinary brands. With that, I will turn it over to Gina to walk through the financial details and our outlook for 2026. Gina?
Gina Goetter: Thanks, Chris, and good morning, everyone. We closed 2025 with good momentum in the fourth quarter and clear evidence that our Playing to Win strategy is working. While the year included meaningful transformation actions and macro volatility, performance reflects the advantage of our diverse portfolio, the durability of our gaming-led growth model, and disciplined execution. We delivered double-digit revenue growth, expanded adjusted operating margins, generated substantial cash flow, and exited the year with increased financial flexibility. Looking at the fourth quarter, net revenue was $1.5 billion, up 31% year over year with growth coming from both of our main segments. Adjusted operating profit was $315 million, up 180% versus prior year, resulting in a 21.8% operating margin. Adjusted earnings per diluted share were $1.51, capping a year of accelerating momentum. For the full year, net revenue grew 14% to $4.7 billion, driven by exceptional performance in Wizards and continued progress across the rest of the portfolio. Adjusted operating profit increased 36% to $1.1 billion with an adjusted operating margin of 24.2%, up nearly 400 basis points versus last year, driven by favorable mix and cost productivity. Adjusted earnings per diluted share were $5.54. In terms of segment performance, in Q4, Wizards' revenue grew 86% to $630 million, driven by Magic, which was up 141% versus last year behind the strength of Avatar the Last Airbender and Final Fantasy's holiday release. Operating profit in the quarter was $284 million, resulting in a 45% operating margin. For the full year, Wizards' revenue increased 45% to $2.2 billion with operating profit of just over $1 billion and an operating margin of 46%. Magic revenue grew nearly 60%, reinforcing its position as one of the strongest gaming franchises in the industry. Core Magic KPIs remain healthy with growth in distribution and a record year for Secret Lair and backlist. MONOPOLY GO continued to be a steady revenue and profit stream, contributing $168 million with the monthly revenue pool remaining largely consistent as we move through the year. The overall mix of business resulted in a 420 basis point improvement in margin and a solid foundation heading into 2026. Consumer products executed well in the fourth quarter, delivering $800 million of revenue, up 7% behind the strength of Hasbro Gaming and Marvel. Adjusted operating profit was $54 million, reflecting improved product mix and promotional discipline while supply chain productivity nearly offset the cost of tariffs. For the full year, consumer products revenue declined 4% to $2.4 billion and delivered an adjusted operating profit of $113 million, demonstrating resilience and an improved cost structure even after absorbing nearly $70 million of tariff impact. Owned and retail inventory positions remain healthy, and we exited the year with owned inventory at a record low of seventy-five days. Entertainment performed in line with expectations for the quarter and the year, delivering stable revenue and adjusted margins consistent with our asset-light strategy. Our cost transformation efforts contributed over $175 million in gross savings across supply chain, product development, and operating expenses, driving margin expansion and helping to offset the impact from tariffs. Through 2025, we have delivered almost $800 million of gross cost savings and are well on our path to the $1 billion commitment. From a cash and balance sheet perspective, 2025 was a strong year. We generated $893 million of operating cash flow and ended the year with $777 million of cash on the balance sheet. We returned $393 million to shareholders through dividends while continuing to reduce debt and invest behind growth. We reached our gross leverage target, finishing the year at 2.3 times behind increased earnings and a reduced debt load. Looking ahead to 2026, we are entering the year with momentum, clarity, and a durable foundation. Wizards remains our primary growth engine, supported by a robust pipeline and sustained engagement across tabletop, digital, and licensed gaming. And we expect consumer products will benefit from a healthy entertainment pipeline, which will enable improved consistency and margin performance. Turning now to guidance. We expect Hasbro consolidated revenue to grow between 3% to 5% year over year on a constant currency basis, with growth across each of our segments. We expect operating margins to be between 24% to 25% for the year, reflecting continued operating leverage and disciplined execution. And we expect adjusted EBITDA to be in the range of $1.4 to $1.45 billion. At the segment level, Wizards is expected to deliver mid-single-digit revenue growth, supported by a healthy release cadence and continued engagement across the Magic ecosystem. Operating margins are expected to remain in the low 40% range, reflecting the underlying strength of the business while absorbing higher royalty expense and incremental costs associated with our planned 2027 video game releases, Exodus and Warlock. In consumer products, we expect revenue to grow low single digits year over year with operating profit margins in the 6% to 8% range. Revenue growth is buoyed by the strong entertainment slate from our partners at The Walt Disney Company, creating leverage through to the cost structure. Entertainment revenue is expected to be slightly positive year over year with operating margins of approximately 50%, reflecting the asset-light nature of the business and continued discipline around investment. The 2026 outlook assumes approximately $150 million of gross cost savings from initiatives across supply chain, including the manufacturing diversification efforts, as well as a continuation of our transformation in several areas impacting operating expense. In terms of phasing, we expect stronger revenue growth in the first half driven by the timing of entertainment-related releases within consumer products, normalized retail order patterns, and year-over-year shifts in the cadence of Magic set releases. The stronger revenue growth in the first half will have a negative impact on margin, as the growth in both segments carries a higher royalty expense. Margin expansion will come in the second half, driven by favorable business mix within consumer products, a step-up in productivity across supply chain, and leverage within operating expenses. Tariff costs will be relatively flat year over year in the back half, with much of the incremental costs landing in the front half of the year. Capital allocation priorities are largely unchanged from last year. We will continue to invest in the business, specifically behind our highest return growth opportunities led by Wizards and Digital Gaming. Second, we are focused on paying down debt and maintaining a healthy balance sheet, and we remain firmly committed to returning cash to shareholders through our dividend. The Board has authorized the first quarter dividend, reinforcing our confidence in the durability of our cash flows. Finally, we are restarting share repurchases, and the board has authorized a new $1 billion share repurchase program, providing additional flexibility to return excess capital to shareholders over time. While we do not provide EPS guidance, there are a few important items below the operating line to highlight for modeling purposes. First, interest expense is expected to be higher year over year, primarily related to planned refinancing activity. And second, we expect lower non-operating income driven by translational foreign exchange impacts and the absence of prior year benefits related to the Swiss deferred tax asset. Taken together, these items represent approximately $40 million year-over-year headwind to EPS even as operating income continues to grow. In summary, the 2026 outlook reflects the progress we've made as we executed the first year of our Playing to Win strategy and the durability of the business we're building. We are growing from a stronger earnings base, operating with greater discipline, and allocating capital with intention. As we move through 2026, we believe the cadence of profitability becomes increasingly favorable, keeping us on track to our medium-term financial commitments. And with that, I'll turn it back to the operator for questions.
Operator: Thank you. We'll now be conducting a question and answer session. I ask you please limit yourself to one question and one follow-up so that other callers have a chance to participate. If you would like to ask a question at this time, you may press star 1 from your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. For participants using speaker equipment, please wait for questions. Thank you. The first question comes from the line of Megan Clapp with Morgan Stanley. Please proceed with your questions.
Megan Clapp: Hi. Good morning, Christina. Thanks for taking our questions. I wanted to start with Magic. Obviously, really impressive growth in the fourth quarter and the year, and really nice to hear the momentum has continued with Lorwyn into the start of the year. You know, I think a key investor focus and question we still get a lot is how do you lap what you just delivered as we look into fiscal 2026? You talked about kind of mid-single-digit top-line growth for Wizards. I think most of that's probably driven by Magic. So can you just kind of take a step back and unpack some of the assumptions that are underlying your Magic guide for the year? You've got the extra half set, the backlist, obviously, momentum remains strong there. You talked about Secret Lair record in the fourth quarter as well. And then the player growth up 20% year over year, can you talk about just how what you're seeing from some of these newer players plays into it as well? Thank you.
Chris Cocks: Yeah. Good morning, Megan. I'll start, and then Gina can correct everything I say. I think it really comes down to several growth vectors. The first one is distribution growth. We're seeing meaningful growth in our Wizards Play Network. That was up 20% last year. We think it's going to be up double digits this year again. We're seeing incremental distribution as the brand expands and player base expands. So I think mass market and non-WPN based distribution growth exceeded last year WPN growth and will exceed it again this year. Player growth has been robust. I think the organized play metrics we're giving you are just kind of hardcore or core player growth, the people who play in stores. Our metrics for non-hardcore players are a little more loose. But we think that those are growing well in excess of that 20%. And importantly, as we're bringing on new kind of casual fans or new to Magic fans and collectors, they are sticking around. And you're seeing that evidence in robust backlist and higher organized play participation. So what we're seeing going on with Magic is a virtuous cycle of there's more places to buy. There's more people playing. They're engaging longer and sticking around. And, you know, that just leads to increased set over set performance like we're seeing with Lorwyn. And we see that continuing into 2026. Not to mention, we've got a stacked lineup of partners. You've got Teenage Mutant Ninja Turtles, The Hobbit, Marvel Superheroes, and Star Trek. Plus some real fan favorite sets like Lorwyn and Strixhaven on top for this year.
Gina Goetter: Yeah. I guess, Megan, good morning. My add would be as we think about the phasing for the year, there's a front half and a back half. And when you split it, really, most of the growth for the business is going to come in the front half of the year. Just surely because of what we're comping in Q4. And if you look kind of quarter by quarter basis, you know, all three first three quarters are going to continue to grow. For Magic, it's really about that fourth quarter. So expect really strong performance in the front half of the year, really good performance in the back half of the year as well. It's just we have a massive comp in Q4.
Megan Clapp: Right. Okay. Super helpful. And then maybe just a follow-up on partnerships. Chris, you talked a lot about Playing to Win and the growing role partnerships are playing in your prepared remarks. We've obviously seen a step of an announcement over the last week, including Harry Potter this morning. So can you just talk a little bit about what's driving the momentum in this expanded partnership slate and specifically, how the business's transformation, what you can maybe now offer the partners has changed the conversations and maybe made you more of a partner of choice and then for Gina, like, does this change how you think about the medium-term top-line growth for CP just as we you know, you'll have a strong year this year, but a lot of this will layer into '27?
Chris Cocks: Yeah. So I read a lot of business books. I geek out about them. I bore the management team with them. And Jim Collins is one of my favorite. He has this kind of concept called a hedgehog concept. Which is what's the thing that you're uniquely the best at in the world as a company or could be the best at in the world. We call it our superpower. And we believe Hasbro's superpower is inspiring a lifetime of play. We are a company that uniquely can engage a consumer as young as two or three and extend that play relationship well into throughout their entire lives from two to 99 and beyond. And I think, you know, the partners that we're working with they have brands that are multi that have been around for a long time, that appeal to preschoolers, but also appeal to collectors. And I think when a partner chooses Hasbro, they choose us because we can uniquely do that among, you know, most toy and collectible companies out there. And so, you know, whether it's K-Pop Demon Hunters, which is Netflix's biggest film ever and really kind of appealing to kind of that tween and teen crowd, or 52-year-old CEOs like myself. Harry Potter, which, you know, is celebrating what it's thirtieth, twenty-fifth anniversary. Best selling book series, hundreds of millions of fans, people flocking to theme parks. Voltron, which is like a seminal kinda collector brand from, like, the nineteen seventies and eighties. I remember having my breakfast cereal watching Voltron as a kid. Or, you know, iconic video game series like the Street Fighter. It just works hand in glove with what Hasbro is great at. And so I think if you see us announce these partnerships, really gonna lean into gamified product opportunities, entertainment, and event-driven kind of brands that like, supercharge inside of our distribution system. They're multipurchase and highly collectible. And they're multigenerational. And I think that's true for the toy side of the business as well as the game side of the business. So you're seeing us execute this playbook on Magic, going to see us execute it on Dungeons and Dragons. And you're seeing us execute it across our toys and collectibles.
Gina Goetter: Yeah. Megan, my add would be, you know, first, I want to give a huge shout out to Tim Kilpin and his team for securing so many valuable partnerships for us on the toy and game side. You know, we've been talking for years of the couple of things that are gonna continue to move us up the margin scale on CP, and scale is one of them. And so these licenses help to build that scale in a very productive way for Hasbro. And so as we think about our midterm outlook, and really that top-line number for CP, we see this year as the inflection point. You know, we are we're back to growth. We're guiding to growth for CP. And when we look out into '27 and '28, we see that continue. So we do think that these licenses serve a really valuable purpose in just bringing our entire kind of fleet of brands and capabilities to life.
Megan Clapp: Great. Thanks so much.
Operator: The next question is from the line of James Hardiman with Citigroup. Please proceed with your question.
James Hardiman: Hey, good morning. Wanted to sort of follow along that path of, you know, obviously, Wizards' top line was better certainly than any of us would have expected. Even the most bullish expectations coming into the year. I wanted to unpack the margin a little bit because that also blew away expectations. Right? I think you were assuming that margins would contract this year or last year, I guess, should say. Given the mix of the business, and I think it expanded 420 basis points. Right? And so as we think about 2026, you know, clearly part of the reason we're again expecting contraction is the video games and their dilution to margin. But maybe help us unpack sort of the structural margins of Wizards versus sort of the or at least the tabletop business versus, you know, some of these other offsets that may for a period of time compress that a little bit because it feels like this isn't just sort of a temporary like, things got better in '25, and then they'll contract back to where we thought they would be. It seems like this is maybe more of a permanent benefit.
Gina Goetter: Yeah. Morning, James. Good question. You know, we've always said that the Wizards segment margins are going to play and dance within that high 30s. Low forties. To your point, we ended the year '25 quite a bit more favorable than that, really driven by mix and leverage that kind of flew through the P&L. As well as we had some nice pickups in cost productivity through the fourth quarter within the supply chain that benefited us. As we look into 2026 and the overall margin profile, we do expect to give back a little bit of that, mainly because royalty expense is going to continue to increase. Plus, as we move through the back half of the year, we will be stepping into some additional expenses related to the launch of the two games in 2027. So to your point, the overall margin foundation is quite solid. You know, being in that high thirties, low forties is the right range for us. Now video games, when we get to that point in '27, you know, that will be, as we've talked about in the last call, it will take a bit away from margin in that sense. But gonna still be within that high thirties, low forties business.
James Hardiman: Got it. That makes sense. And then maybe switching to CP guidance. Low single-digit revenues, operating profit six to 8%. Maybe help us unpack that. I mean, what are you assuming from a point of sale perspective? And are there any sort of tailwinds as we think about whether it's inventories being a little depleted heading into the year? Or I think you made the comment that retail ordering patterns were ultimately negative to the top line for twenty-five, just based on the tariffs and the DI to DOM shift. Does that become a tailwind at all to 2026? Or is CP revenues being up low single digits pretty consistent with how you're thinking about retail?
Gina Goetter: Okay. So let's start with where we landed on the year on inventory. So coming out of the third quarter, if you go back to our comments there, our retail inventory was, call it, down mid-teens. We ended the year probably down high single digits at retail. So we probably, yeah, filled a little bit of pipeline in through the fourth quarter. And I would call that the right resting spot for retail inventory just given the macro environment and what is still happening with tariffs. So I don't expect as we move into 2026 any sort of in retail inventory as being a big positive or negative for the year. It's just kind of whole serve as we move throughout the year. The big tailwinds that I see for us in '26 really come on the back of a stronger entertainment slate. So, I mean, four movie releases from our partners at Disney usually lead to nice top-line growth for us. And we have when you look at kind of front half, back half for CP, pretty balanced. So we're expecting kind of low single-digit growth throughout the balance of the year. The one point that we call out when we think about the second quarter, just keep in mind, that was where we had all of the tariff-related noise in 2025. So our second quarter is going to be pretty big. You know, the cadence for CP will be the first quarter will be down, and that's largely driven by some one-time comps that we have within licensing. Q2 will be up pretty strong just given this comp that we have from the tariff event in '25. Then the back half of the year, I believe we've got Q3 is up, and Q4 is up slightly. So it's a really balanced delivery for the business over the course of the year.
James Hardiman: That's great color. Thanks, Gina.
Gina Goetter: Thank you.
Operator: Our next question is from the line of Gerrick Johnson with Seaport Research. Please proceed with your questions.
Gerrick Johnson: Great. Thank you. Good morning, everybody.
Chris Cocks: Hey, Chris. Morning. Good to hear your voice, Eric.
Gerrick Johnson: Good to hear your voice. Welcome back.
Chris Cocks: Great to be back. Thank you. So I want to ask on Magic. You know, what do you think the ratio or the proportion of tabletop sales go to players or go to games being played, and what proportion go to collectors and collections?
Chris Cocks: Oh, gosh. Well, hey, Gerrick. First off, welcome back. It's great to have you back on the calls. I would say Magic is overwhelmingly player-based or player-collector. And that's unique among a lot of trading card games. I think some of our competitors are much more heavily collector-based. So, you know, what's good about that is it gives us kind of this stable base of play and community that I think can last if there's any kind of wobbles in kind of collector sentiment or overall kind of, like, value pool available to collectors. You know, if you ask me to kind of pin me down to a number, I think we're probably 80 to 90% players or player-collectors, relatively small portion of collector-only.
Gerrick Johnson: Okay. Fantastic. Thank you. And in toys, you know, your licensing revenue was down, and I thought that was a major plank in the strategy. So has that outlicensing program stalled, or what's going on there, and why did that not grow?
Gina Goetter: Yeah. Good question. That is so, no, it has not stalled. That is really our My Little Pony trading cards comp that we had coming out of '24. So there's that one. Our partner, Caillou, had a huge year in '24, and I think it was the first part of 2025, but then we started comping that as we move through the year. But all of the other kind of underpinnings of the business are quite healthy.
Chris Cocks: Yeah. Our point of sale for out-licensed toys was up mid-teens. Location-based entertainment was up, you know, like, probably 20 or 30 locations year over year off of a base of around 200. Now, like, around two twenty-five. Music and entertainment were both pretty solid. A little bit of that is also you have some MGs, and you have some revenue recognition, which moves out over time. But, really, the wobble last year was My Little Pony trading card specifically in China.
Gerrick Johnson: Okay. Great. Thanks for the detail. Appreciate it.
Gina Goetter: Thank you.
Operator: Our next question is from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your questions.
Stephen Laszczyk: Hey, good morning and thanks for taking the questions. Chris, on the theme of AI, I would be curious to get your latest views on how AI impacts the video game industry, whether that's on the cost curve, barriers to entry into the industry itself, or the type of gameplay that consumers will come to expect. Then within that, would curious if you could just detail how Hasbro is positioning itself against maybe AI as an emerging factor here as a relative newcomer to the video game industry?
Chris Cocks: Well, I'll break it down short term, midterm, long term. Short term, I think AI is just a productivity boom. And that'll affect every industry. You know, whether it's finance, operations, how you think about inventory management, forecast planning, it's just a significant time saver. You know, we conservatively think it's going to save us about a million people hours worth of work this year, a lot of which we already kind of harvest that into savings and reinvest into the business. And, you know, so instead of having to, like, you know, manage touch a bunch of orders, we can spend that time and innovate or deliver for our customers or our partners. And I think that'll be true inside of video games as well. Midterm, you know, I obviously think AI kind of how you think about concepting, how you think about idea generation. Even how you think about asset creation. I think, though, that that's gonna be executed on a game by game and brand by brand basis. Based on what the consumer wants and what your partners want you to do. And I think that's gonna take a couple years to kind of play out, but you're already seeing AI embedded in creative workflows like the Adobe Creative Suite. It's just gonna be something that will make things faster. We're seeing tangible benefits from that, particularly in toys where our ability to concept and make an early kind of prototype real has, you know, 10x in terms of speed. And so we're instead of, like, instead of saving and just doing one toy concept, we do 10 toy concepts in the same amount of time at the same amount of cost. And it just allows us to be able to bring an idea to life better and choose a higher hit rate. And then long term, you know, I really think you have to not think about, hey. How can I make a current game cheaper or current toy cheaper? Or better? I think it's gonna open up all new categories of play. All new opportunities that we can barely imagine today. I think you're gonna see some of those products from Hasbro. I think they're gonna be physical as well as digital. And, you know, I think our focus is gonna be on the collector market and adults initially. I think over time that that's gonna spread, as the technology matures and as consumers kind of become more comfortable with it, and it's gonna open up all new engagement opportunities and all new revenue opportunities.
Stephen Laszczyk: Great. Thanks for that. And then maybe secondly on MONOPOLY GO, it's held in much better than most of us had been expecting coming into the year. Just be curious if you'd unpack some of the key drivers there as we went into year-end and then your expectations as we look ahead into 2026 on what the top-line contributions from the game could be this year? Thank you.
Gina Goetter: Yeah. Yeah. Good morning. You know, really looking into '26, we see it staying pretty stable. So call it that 12 to $14 million run rate per month is what we're planning for. We're seeing the decay rates in line with expectations and where we've been able to pick up is just the UA expense itself. Has gone down. So we see that our overall revenue pool is staying pretty consistent. I'd say Scopely has been pretty adept at value capture as well. In terms of like, ways in which people can buy product. Buy dice or by product inside of the experience. That's also helped.
Stephen Laszczyk: Great. Thank you both.
Operator: The next questions are from the line of Arpine Kocharyan with UBS. Please proceed with your questions.
Arpine Kocharyan: Hi, good morning. Thanks for taking my questions. Great quarter. Congratulations. All the detail you provided for segment outlook was very helpful. I was wondering when I look at your overall revenue guidance of 3% to 5%, I was wondering if you could talk a little bit about overall top-line growth puts and takes and specifically what will result in the lower end of that range and what needs to happen for upper end of that range or better. I'm mostly trying to understand whether the lower end of that range is more driven by consumer product business. And then just really for my second question, you had talked about two digital game releases a year. It seems like MONOPOLY GO is still going pretty strong, which is incredible. But could you maybe talk about the pipeline of IP that you are looking at that you think sort of lend itself well into digital gaming and what those opportunities could mean for Hasbro for 2026 and 2027. Thank you.
Chris Cocks: Hey, Arpine. Good morning. Couple things on the range and what dictates it. I think there are probably three factors that probably play into it the most. The first is our ability to provide supply and chase product. You know, actually, Magic was rate constrained last year based on our ability to just produce and drive reprints. And, you know, you typically have a little bit of wobble inside of supply chain in terms of availability and timing. And so I think that'll play in both in Magic as well as toys. I think we have a heck of an entertainment slate on top for this year. From Disney, from Amazon, from Legendary Pictures. And, you know, depending on how those go, that could be quite a big over under for us. And then I think the last thing, which is always kind of omnipresent, is just what's the strength of the consumer. You know, right now, we continue to see kind of a tale of two cities. You know, the top 20% of households in terms of wealth are really driving a lot of demand and are staying pretty resilient. You know, the lower quintiles of kind of wealth and income, their pennies are pinched. And so we're trying to appeal to both. If the economy proves better, if, like, some of the tax refunds that are untapped, in, like, the US market proves to be kind of shared out versus, like, going into the bank account. That could be a boon for us as well.
Gina Goetter: That's super helpful. Thank you. My only add opinion would be by the middle of the year, we will have a better sense for how some of these things are shaking out. And how strong the movie releases are, how strong kind of the UV sets are. But there's you know, we feel good about the guidance range that we went out with.
Chris Cocks: So I'm sorry. You had a part two, Arpine, and I want to make sure we hit it.
Arpine Kocharyan: Yeah. About digital gaming and the pipeline of what that looks like.
Chris Cocks: Yeah. So we continue to have a really strong digital licensing business, which continues to grow. You know, last year, we had Sorry World from GameBerry Labs that did pretty well. We have MONOPOLY GO, which continues to do really well. It's probably one of the most successful mobile game launches in history. And Scopely have been fantastic partners. From our self-published side, we feel pretty good about the early demand indicators and interest indicators for both Exodus and Warlock. You know, those will be two pretty big tests for us next year. And we continue to invest in digital games. You know, as we're thinking about the portfolio moving forward, you know, I think the good thing about digital games is we're getting past kind of, like, the start-up phase. You typically have a lot of costs associated with starting studios and building up publishing capacity. I think that will help with profitability as we get past 2027. We're also doing a lot of new partnerships. Last year, we announced a joint venture with Sabre on a game. We're gonna have several more that we're gonna announce, and that will with the risk defraumen. And then we're investing more heavily in new talent markets for games. So Montreal is about half the cost of what, you know, like, the West Coast or Texas is in the US. Leaning in there. And, likewise, we're leaning into a lot of Eastern European and offshore-based talent. Which, again, I think could even be half the cost of what even Canada is. And so that'll allow us to make better games. That'll allow us to be able to put more man-years into the games and have more content. And hopefully also allow them to be even more profitable over time as we scale the franchises.
Arpine Kocharyan: Very helpful. Thank you, Chris.
Operator: The next question is from the line of Eric Handler with SMKM. Please proceed with your questions.
Eric Handler: Thank you very much. Good morning. I wonder if you could just discuss your thoughts on toy industry POS outlook for 2026.
Chris Cocks: Sure. I might have a bit of a cheeky response to this. So, hey. I'll start, and Gina can, can let Didn't know what's so funny.
Eric Handler: No. No. No. No. No. I
Chris Cocks: You know, for us, I almost think it's the wrong question. You know, we segment the market in our own unique way. We call it GEM Squared. It's an acronym which stands for gamified entertainment-driven multipurchase, and multigenerational. Those categories, you know, 70, 80% of Hasbro's existing point of sale is focused on those categories. And probably 90 to 95% of our investment is going to those categories for the future. We think those categories have a mid to high single-digit CAGR and, they are just structurally advantaged. You know, peers who operate in those categories, they typically have a forward multiple of a 20x, maybe a 25x. You know, those are companies like a Pop Mart or a Lego or a Bandai Namco, and we would put Hasbro squarely inside of those that peer set. The other side of the toy market, the more traditional kind of kids-oriented one-off purchase toy market, you know, I think there's opportunities to grow there. There's certainly a lot of innovation there. But, you know, I think that's in a structural set of decline, and it's probably going to continue to decline over the next several years and has been. And, the reality there is there's just less babies being born and there's more substitution happening at earlier ages. So, you know, if you ask me kind of what the overall toy industry is gonna do, I'd probably give you an I don't know. If you ask me what the side of the industry that Hasbro is investing in is gonna do, I think it's pretty robust growth.
Eric Handler: Okay. That's helpful. And I know a lot of this stuff goes hand in hand. You know, you're spending a lot of time talking about, you know, entertainment-driven properties for your consumer products. Wondered if you could talk about the outlook in 2026 for sort of like your first-party types of products?
Chris Cocks: Yeah. Well, certainly, I think Magic is gonna do pretty well. I think D&D is going to do pretty well as well and Peppa Pig has some significant room to grow. I think our board games and Play-Doh also look pretty good. Some of our more entertainment-driven properties like Transformers are probably gonna have a down year, but, you know, that's held up remarkably well. You know, we grew Transformers last year despite not having any entertainment. And so, you know, I think for our first party, we see upside. We would like to grow that as a percentage of our business while still working with partners and growing them. Because, you know, obviously, it's margin accretive. And we feel pretty good about the hand that we have. I don't know. Gina, do you have anything to add? I mean, for me, it's
Gina Goetter: will be down here, I'm just trying to think of another one that Furby's kinda getting near the end of its life cycle. Datahead is gonna have a good year just given the Toy Story release. So
Chris Cocks: For sure. Okay. Click and talk. Thanks. Alright. Thanks.
Operator: Next question is from the line of Christopher Horvers with JPMorgan. Please proceed with your questions.
Christopher Horvers: Thank you, and thanks for taking my question. So maybe, Gina, if you could simplify the operating margin outlook you have a range of about 30 basis points expansion at the midpoint versus the 50 to a 100 algo. Could you bucket the headwinds that bring you down from that between royalties digital gaming costs and tariffs? Given access in D&D, digital game launch until '27, wouldn't have expected that to be a headwind because the amortization comes in '27. Thank you.
Gina Goetter: Got it. Good morning. The couple of things that are well, I'll start with the good guys. First. So obviously, volume and mix and pricing, that is a good positive margin contributor for us in 2026. Royalties is gonna be a headwind, so we have increased royalties across both of our businesses now just again, the entertainment slate on CP coupled with the Universe's Beyond set. So that's call it a point, a point and a half of margin drag that we'll have coming into 2026. The other thing is tariffs. So we'll have a full year of tariff cost. In '25, we had roughly $40 million tariff cost hitting the supply chain. Right now, we're modeling that out to be about $60 million of cost. So an incremental, you know, million dollars. And even though we have, you know, cost productivity within the supply chain that's able to offset, typically, you know, our normal model is that that cost productivity is adding to our margin. This year, it's just kind of that cost productivity is just helping to offset that tariff impact that's coming at us. And then I would say the last thing that I call it as a headwind is just the investments that will have towards the end of the year. And I shouldn't say really the end of the year, but marketing step up as we move through the year, especially in advance of these video game releases. As well as just broad increases in product development as we move through 2026.
Christopher Horvers: That's very helpful. And then, just to follow-up on CP margins. You know, we see the presentation, how you lay out the margin change year over year, but could you help us and narrate that because you did have strong sales growth, and margins were down year over year. So understand the tariff impact, but if you could just narrate the puts and takes between sales allowances versus cost savings versus tariffs?
Gina Goetter: Yeah. So, I mean, in the fourth quarter, to your point, we had nice volume growth, and our team did a really nice job working with our retail partners getting a good mix of business in and not going way beyond on promotional spending, a really nice positive kind of volume and mix impact from the fourth quarter. The pieces that came against us were tariff. Largely speaking, fourth quarter was all about tariffs. So again, of that $40 million of cost that we had in '25, about 60%, 65% of it hit in the fourth quarter. So that's what really weighed on margin profile as we move through the year. So as we go into 2026, while volume and mix for CP is going to be a positive for us, we're continuing to have the tariff headwind, plus we'll have a step up in royalty expense as well. That kind of keeps that in that 6 to 8% range.
Christopher Horvers: Thanks so much.
Gina Goetter: Thank you. Thank you.
Operator: Our final question is from the line of Kylie Cohu with Jefferies. Please proceed with your question.
Kylie Cohu: Great. Thank you for taking my question, and congratulations on a strong quarter. Just kind of a small one from me. How would you describe sell-through or like the POS cadence throughout the quarter? Anything unusual to call out or was it kind of as usual?
Chris Cocks: I would say for toys, we felt pretty good just given that the SNAP benefits were kind of taken away just given the government shutdown. Other than that wobble, we felt pretty good about the direction of toy point of sale. I think from September through end of this December, we gained share in our key categories in 16, 17, maybe even 18 out of twenty weeks. That's pretty good. And we think that momentum continues into this year and augurs well for kind of our outlook for 'twenty-six.
Kylie Cohu: Great. That's all I had. Thank you.
Chris Cocks: Alright. Thanks, Kylie.
Operator: Thank you. At this time, this will conclude today's question and answer session and will also conclude today's conference. Thank you for your participation. You may now disconnect your lines, have a wonderful day.